Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:02 Hello and welcome to today's Apartment Income REIT Corp. My name is Charlie, and I will be coordinating your call today. . 00:17 I will now hand you over to your host Lisa Cohn to begin. Lisa, please go ahead.
Lisa Cohn: 00:23 Thank you, Charlie, and good day. My name is Lisa Cohn, and I am President and General Counsel of AIR Communities. 00:30 During this conference call, the forward-looking statements we make are based on management's judgment, including projections related to 2022 expectations. These statements are subject to certain risks and uncertainties, a description of which can be found in our SEC filings. Actual results may differ materially from what may be discussed today. 00:52 We will also discuss certain non-GAAP financial measures, such as funds from operations. These are defined and are reconciled to the most comparable GAAP measures in the supplemental information that is part of the full earnings release published on AIR's website. 01:08 Prepared remarks today come from Terry Considine, our CEO; Keith Kimmel, In Charge of Property Operations; John McGrath , new Chairman of our Investment Committee; and Paul Beldin, our CFO. Other members of management are also present. All of us will be available during the question-and-answer session which will follow our prepared remarks. 01:30 I will now turn the call to Terry Considine. Terry?
Terry Considine: 01:33 Thank you, Lisa, and thanks to all of you for your interest in AIR. I want to begin by thanking the entire AIR team for an outstanding fourth quarter and an excellent 2021. We expect this year will be even better. The great results are your achievement our shared optimism reflects your skills and your commitment. I'm proud to be your teammate and your spokesmen today. 02:00 2021 was an important year for AIR. We completed the commitments made in December of 2020 when we began business as the simplest most effective and most efficient way to invest in multifamily properties with public market liquidity. 02:17 As Keith will report we emphasized property operations and again delivered peer leading customer satisfaction cost control and operating margins. As John will report, we upgraded our portfolio selling off the bottom and acquiring properties with expected faster growth and higher returns. And as Paul will report, we increased FFO per share by 8% from our initial guidance and substantially strengthened our balance sheet. 02:51 We added to our long-standing commitment to corporate responsibility and we refreshed our Board of Directors electing 3 new highly qualified and diverse directors. As a result, we are well positioned to execute our strategic objectives, including the specific priorities for 2022 set by our Board of Directors at its meetings last week. First, continue a simple and efficient business model focused on low execution risk and low financial risk. We believe risk reduction will lead to more consistent and predictable results, the foundation for the long-term organic growth of our business. We will work to improve our already peer leading operating platform, what Keith calls the AIR Edge and we'll describe in more detail. We know that apartment markets are highly competitive that Keith and the entire AIR team are committed to continue to be best-in-class. 03:50 Second, enhance our portfolio through disciplined capital allocation. We will invest in top rated sub-markets, maintain broad diversification and invest only where we can earn attractive spreads to our cost of capital. We intend to grow, but we will not do so by increasing leverage beyond our targeted range for funding transactions through dilutive equity issuance. 04:16 Third, maintain the opportunities and flexibility inherent in our low risk balance sheet. We'll expand our sources of debt and equity capital. Last year we welcomed Blackstone as a new partner. This year we look forward to deepening relationships and building additional partnerships. Fourth, be good neighbors. We will advance our many and longstanding activities to provide community as well as housing to our residents to continue as a nationally recognized employer of choice for our team and exemplary corporate citizen with transparent and objective reporting of our goals and their achievements. 04:54 And finally and importantly be good stewards of shareholder capital. We'll address all our goals with low overhead cost and a high degree of alignment with shareholders and their expectation of competitive risk-adjusted returns. 05:10 With that I'll turn the call over to Keith. Keith?
Keith Kimmel: 05:12 Thanks, Terry. The fourth quarter was outstanding, wrapping up a successful 2021 and we anticipate 2022 will be even better. As expected, occupancy continued to strengthen with the fourth quarter result of 98.1%, up 160 basis points from the third quarter. 05:34 Rates reached new high watermarks with signed new lease rates up 13.5%, renewals up 11% and blended rates up 12.8%. Our customer service remain consistent with nearly 10,000 surveys during the quarter scoring us above 4.3 out of 5 stars. And as a result, our trailing 12 month turnover reached a record low of 39.7% with 550 fewer move-outs in 2021 than 2020. 06:10 Strong operations translated into robust financial results for the quarter. Revenue was up 9.9% from the fourth quarter of 2020. Bad debt showed continued improvement at 90 basis points for the quarter with 97% of residents paying rent in full consistent with recent quarters and an increase in government assistance payments largely offsetting the number of continuing delinquents concentrated in Los Angeles where renters even those without hardship continue to be excused from legal enforcement of their contractual obligations. 06:47 Expenses were down 90 basis points year-over-year with controllable expenses down 3.8% due to lower marketing and lower turn costs due to record low turnover. Net operating income was up 14.3% from the fourth quarter of 2020. This brings us to the AIR edge. Simply put, the AIR edge is the unique constellation of innovations and integrations areas implemented. The AIR edge includes our physical assets and upgrades, our technology platform, our analytics engine, our staffing design, and most importantly, our team which has exceptional expertise, a passion for continuous improvement and a culture of respect, collaboration, and personal accountability. 07:40 The AIR edge manifest itself in our same-store portfolio as margin, which was 73.7% in the fourth quarter, 290 basis points better than in the same period of 2020. Our unrelenting commitment to profitability is demonstrated by margins that have been sector leading for 18 consecutive quarters, and today it's higher than all peers by at least 290 basis points, the equivalent of  (ph) million in incremental interim created by the AIR edge. 08:14 The AIR edge adds even more impact by making acquisitions highly accretive. As we implement the AIR Playbook and see rapid improvements in both revenue and expense. At City Center on 7th, in Pembroke Pines, Florida we signed nearly a 100 leases during the fourth quarter and an average increase of 34% from the prior lease. At our four acquisitions in Washington DC, fourth quarter new leases average an 18% increase from the prior lease. In both markets, rate growth and sales volume have exceeded our same-store performance and financial results are at or above our expectations. 08:56 We anticipate further upside as our industry best playbook is fully implemented across every aspect of these communities. In January, there was a year-over-year acceleration in our same-store results and still higher growth in our acquisition portfolio. 09:14 Occupancy during the month was 98.4% an all-time high in a single month in our portfolio. Signed new lease rates increased 14.9% from the prior lease. Renewals increased 11.7%, leading to a blended rate growth of 13.3%, all of which represents improvements from the fourth quarter as pricing continues to strengthen. 09:41 Our loss to lease is currently in the low teens and we expect healthy rate increases going forward. In our acquisition portfolio, new lease rates at City Center were up 39% from the prior lease, 5% better than the fourth quarter, and our Washington DC new leases were 26% above the prior lease, 8% better than the fourth quarter. In all, we anticipate 2022 will be an exceptional year with strong demand across all markets and excellent pricing power. 10:16 We expect $8.9 million to $9.9 million year-over-year growth in AIR same-store revenue, with most of the increase due to occupancy growth that has already occurred, rates that are earning in from 2021 activity and our current loss to lease for 2022 expirations. We expect 2% to 3% growth in expenses, including flat controllable operating expenses and resulting net operating income growth of 11% to 13%. 10:48 We anticipate all markets will have robust growth this year with double-digit revenue growth in Miami, San Diego and Philadelphia; high single-digit growth in Los Angeles, Boston, Denver and Washington DC; and mid-single digit revenue growth in the Bay Area. 11:07 That said, we expect our acquisition portfolio to outperform and over the course of 2022 have revenue growth 2/3 faster than the same-store portfolio. My thanks to all AIR team members. Your dedication to serving our residents and your drive to continuously improve our business has made this quarter a great success. You are truly the AIR edge and I look forward to building upon our wins together during 2022. 11:36 And with that, I'll now turn the call over to John McGrath, the new Chairman of our Investment Committee. John?
John McGrath: 11:43 Thank you, Keith. We had a very busy few months on the transactions front. We set a lofty and achievable target of $1.7 billion of sales proceeds to be used for deleveraging, funding acquisitions, and strengthening liquidity. I'm delighted to report as of today we successfully completed $1.4 billion of that goal and expect to achieve our full target by the end of the first quarter. 12:09 During the fourth quarter, we sold 15 apartment communities located in New York City and Washington DC with approximately 1,340 apartment homes for gross proceeds of $472 million. And as previously reported, we entered into a joint venture with an affiliate of Blackstone we saw an 80% interest in three properties with approximately 1,750 units located in Virginia for about $410 million. 12:38 In January, we closed the sales of 7 apartment communities located in San Diego, Los Angeles County and the Bay Area for approximately $510 million and we have another $267 million under contract. We made significant progress in support of our goal of continuously improving the quality of our portfolio. 13:01 Quality has many aspects, in our markets we look to expected growth in local economies and predictable laws and regulations. In our portfolio, we look to diversification across markets and price points. In our rents, we compare our rents to local market averages. And in our operations, we look for higher growth rates, especially when we first add a property to the AIR platform. 13:27 Completion of our sales will increase our relative allocation of capital to higher growth markets, improving the average annual expected growth rate of the portfolio by 12 basis points and increasing our portfolio average rents by $150 to 116% of local market averages, an increase of 800 basis points. Importantly, we will have raised equity capital at a current free cash flow cost of 4%, a current NOI cost of 4.3% and a long-term expected IRR cost of 6.4%. 14:03 Turning to acquisitions, as discussed during our last call, in the fourth quarter we acquired a portfolio of 4 properties located in the Washington DC MSA with 1,400 apartment homes and 84,000 square feet of office and commercial space for a purchase price of $510 million. The acquisition included 2 vacant land parcels where suitable for development of 498 additional apartment homes. Air will not undertake the development of these parcels, but rather expects to sell or lease the land to a third-party developer. 14:39 The paired trade is expected to result in greater growth in NOI and in FFO. We expect a 4.3% NOI yield in 2022, roughly breakeven in NOI with the properties sold. This yield what is expected to approach approximately 6% in the third year, a spread of 1.3% to what we expect from the properties sold, adding $0.04 to FFO per share. This spread increases over time as the long-term IRR is expected to be 9%, a 40% increase over the long term IRR of holding the properties sold. In short, the acquisition is an example of what we like, using the AIR edge to increase FFO per share with limited business risk and no increase in financial leverage. 15:27 Turning to 2022, our guidance includes $500 million of accretive acquisitions, reflecting the fact that 3 transactions totaling that amount are already under some form of agreement. We are firmly committed to disciplined capital allocation and we have no fixed goal for further acquisitions. We will invest in top rated sub-markets, maintain broad portfolio diversification and invest only where we can earn attractive spreads to our cost of capital. We plan to grow, but we will not do so by increasing leverage outside our target range or by funding transactions through dilutive equity issuance. 16:07 Given elevated prices for multifamily properties we are cautious about acquisitions at market prices and so we'd look for non-market advantages, such as opportunities for Keith's team to create considerable value. We expect our future portfolio growth will be opportunistic. We are looking primarily in our existing markets, and especially in the Mountain West and in the Southeast from Florida to Virginia. 16:34 With that I'll turn the call over to Paul Beldin, our Chief Financial Officer. Paul?
Paul Beldin: 16:39 Thanks, John. Today I will discuss our delevered balance sheet, 2021 financial results, expectations for 2022, and our dividend. Starting with the balance sheet. As John mentioned in his remarks, we have closed $1.4 billion of $1.7 billion of planned property sales. The remaining sales are expected to close later this quarter. Net proceeds were used to fund $430 million of equity to complete 2021 paired trades and repay $800 million of property debt, a weighted average interest rate of 3.7%. The completed sales will bring pro forma year-end net leverage to EBITDA to 5.8 to 1. The remaining property sales will bring our pro forma net leverage to EBITDA to 5.3 to 1, two-tenths of a turn lower than our target. 17:33 The weighted average term is 6.5 years and a weighted average interest rate of 2.6% before consideration the  (ph) and 2% net of it. Our deleveraging and refinancing activities will have lowered year-over-year interest expense by $46 million, reduced debt service requirements by $91 million and created additional financial flexibility by increasing our pool of properties, unencumbered by debt by $8.4 billion or approximately 2/3 of our portfolio. The result is a low levered, high quality and flexible balance sheet. Improved credit metrics making the investment grade rating from Moody's more likely and strengthen our investment grade BBB flat rating from S&P. 18:20 As John mentioned, we are considering 3 transactions totaling about $500 million. If we go forward with these investments, we anticipate funding them with low cost borrowings, while maintaining year-end leverage at approximately 5.5 times EBITDA. 18:37 Turning into 2021 financial results. Full year same-store NOI growth was up 1.6%, 510 basis points ahead of our beginning of year expectations and 560 basis points ahead of the coastal peer average. The AIR edge made it possible for AIR to be the only coastal multifamily REIT to deliver positive 2021 NOI growth. The same AIR edge that led to same-store NOI growth above our initial guidance produced full year FFO of 8% or $0.16 per share ahead of the midpoint of guidance provided 1 year ago. 19:17 Next, 2022 full year guidance. For 2022 we forecast FFO to be between $2.36 per share and $2.44 per share, representing 12% growth at the midpoint. We expect our earnings growth to be the result of a $0.29 addition from 12% same-store NOI growth, partially offset by a $0.03 of traction from the combination of NOI loss due to property sales, lower interest expense, incremental contribution from our 2021 acquisitions and those planned for 2022 and miscellaneous other items, primarily lower interest income due to the maturity of  (ph) from old Aimco's securitized debt. 20:01 Last, a few quick comments on our dividend. As planned, AIR's refreshed tax basis resulted in a taxpayer-friendly dividend. In 2021, AIR's dividend of $1.74 per share was taxable 1/3 as capital gains and 2/3 as a tax-free return of capital. For those investors who are tax sensitive, each dollar of the AIR dividend is worth 28% more after tax and versus the peer average. 20:31 In setting AIR's 2022 dividend, our Board of Directors targeted a dividend payout ratio of approximately 75% of full-year FFO. For the first quarter the Board declared a quarterly cash dividend of $0.45 per share, an increase of 5% from the dividend paid in the first quarter of 2021. 20:52 With that we will now open the call for questions. Please limit your questions to two per time in the queue. Charlie, I'll turn it over to you for the first question.
Operator: 21:02 Thank you.  Our first question comes from Nick Joseph of Citigroup. Your line is open. Please go ahead.
Michael Bilerman: 21:27 Hey, it's Michael Bilerman here with Nick, Terry. Good morning there. Terry, the first topic was just on the comp that you forfeited, the $2.5 million can you -- was there any agreement? Did you receive anything for giving that up in terms of the stock grant or signing a new employment agreement? Or was it really just accepting $2.5 million less on your $7 million comp and allocating that to the rest of your management team?
Terry Considine: 22:00 Michael, good morning. That's a lot of question. It was a $2.5 million cost, but it wasn't about me, it's about the company. And the company was committed to being the most effective and efficient way to own multifamily properties with public market liquidity and we want it to be shareholder friendly and so while the cost was high, the decision was easy.
Michael Bilerman: 22:30 So there wasn't anything that you received in return for forfeiting that comp, correct?
Terry Considine: 22:35 Absolutely not. There is no quid pro quo, no adjustment, no makeup. No -- nothing of that sort, whatsoever.
Michael Bilerman: 22:48 And then looking into the future, with this commitment to maintain the 15 basis points and I know the language in the supplemental said subordination, but I don't think it's going to be subordinated loan to get there, you're going to forfeit as much as your comp to get to that 15 basis points. I guess what happens if we have high wage inflation and G&A is rising to keep good team members and it keyed your $7 million of comp, then what happens and who sets the GVA to know what the 15 basis points is based on? And what disincentives do you have not to simply grow the entity and grow G&A, even though it's capped at that 15 basis points. I would assume at some point there is some efficiency in terms of an organization that's growing especially in target markets for your own assets?
Terry Considine: 23:47 Well, there are multiple questions in there, Michael. Let me take them as best I heard them. The first is, we don't expect that. I certainly don't expect it to be a continuing issue because of the increasing value of the business. And so, it's easy to have a hypothetical, but for the moment, I don't expect it going forward. 24:12 Secondly, in the event of some hypothetical circumstance, obviously, the Board is free to make some right decisions for the best interest of the company. But I just want to be crystal clear that we're committed to being a low-cost efficient operator and that -- if that customer may comp, the customer might come, and that's partly because they put the company first and I've got 3 million or 4 million shares that are more important to me than short term comp.
Michael Bilerman: 24:48Okay. And then just who sets the value that you're basing 15 basis points on. Is that going to be an outsized third party, is that management or --
Terry Considine: 24:57 Well, it is management, but we measured against Green Street's numbers. So you can easily track it. There are some things that we will know in advance of Green Street, for example, the sale or such. But we can provide a walk from the Green Street numbers, so you can see exactly what it is, it's not a contrived number in any respect. And in fact by some measures it's -- we've been more inclusive of costs as G&A than Green Street has been by going through and looking at other in order to make sure that it was picked up and also so that there is no benefit to geography by signing cost of property management. 25:46 And so it's something I'd be delighted to walk through with you, but I thought it would be not at all in the Aimco or rather in the AIR Way for us to make a commitment that was filled with lots of ways around it, so we wouldn't do that.
Michael Bilerman: 26:05 Well, thanks for the time. And I do the same thing, Terry. I still refer to you as Aimco. It's hard to change.
Terry Considine: 26:12 All right. Old habits, stay with us, but thank you for those questions. It's not a sensitive subject. It's one that is an important way to lead by example to show the commitment of the company, to being aligned with shareholder interests. So I'm glad to get that up first.
Michael Bilerman: 26:33 Yeah. I know it's something of new. It obviously doesn't exist elsewhere and so we just want to make sure that we understood the mechanisms and how it's going to work to ensure that it doesn't have unintended consequences even though it's coming from the right place. Thank you.
Terry Considine: 26:57 If it turns out, if there are such, we'll address that. Thank you so much.
Operator: 27:03 Our next question comes from Rich Anderson of SMBC. Your line is open. Please go ahead.
Richard Anderson: 27:11 Thanks. Good morning out there. First of all, calling the dividend tax free on return of capital size and exactly correct, right? I mean it defer your taxes until you -- when you -- at time when you sell your shares, right? So I mean it's tax deferred, not tax free?
Terry Considine: 27:35 It depends a little bit on other circumstances like when you die, but broadly it's an advantage.
Richard Anderson: 27:45 Okay. So I just don't want to get into that too. But Terry you mentioned more partnerships in 2022. We know that the tag line -- most important tagline here is, simplicity of the portfolio and so on. To what degree are you willing to have partnerships be a part of the portfolio as a percentage of the total with an eye toward -- again maintaining this simplicity model in the multifamily space?
Terry Considine: 28:16 Rich, that's an excellent question and one that we have to be mindful of going forward. I think that we can have more partnerships than we have today. And that they contribute to simplicity, if you will, by being a very simple demonstration  that confirmation is a plus for transparency. Obviously, there is some level where it might be a negative that has to be weight, but for the moment we're comfortable of adding more.
Richard Anderson: 28:58 Okay. And then my second question perhaps to Keith or whomever, but we just got kind of through this latest wave of Omicron thankfully seeing it subside. But from the standpoint of how your business runs, is there -- is Omicron your friend in a way in the sense that keeps turnover low, people may be less willing to move, could we actually see if we get all clear on the pandemic that turnover becomes more of an issue going forward and just all the moving parts that come from it?
Keith Kimmel: 29:43 Rich, thanks for the question. I don't know if I can be a predictor of those things. Here's what I would tell you. What I think made us stand out in a unique place here is that, we've been open for business every day. So regardless of what has happened with the pandemic, we have found a way to be safe and open and engaging our customers and we think that our customers have actually experienced an improved customer relations and environment of community because we wanted to make sure that during a time of stress and uncertainty that they could be certain to count on us. And so, as we look forward they can continue to have the same expectation of us.
Richard Anderson: 30:30 Do you see turnover going up over the course of the year, I guess, that's the question?
Keith Kimmel: 30:36 Well, as I pointed out in my prepared remarks, we had one of our lowest turnovers at 39.7%. I would like to attribute a lot of that that goes to our exceptional team that is focused on customer satisfaction, that creates a sense of community and that the resident quality of our residents through credits and incomes are positioned in a way that some of these other stresses that have hurt others that we've had very stable communities and individuals. So my goal and hope is that, we will continue to maintain sector-leading low turnover and that -- but of course, we'll see if that changes as things develop in the world of Omicron.
Terry Considine: 31:23 Rich if I can add and endorse everything Keith has just said. We will have an increase in turnover and leasing season when we have frictional vacancy, but all of our numbers are a trailing 12 months to take seasonality off the table. So that you can look at it and what you'll see is a long-term trend where Keith and his colleagues have produced greater retention and lower turnover than anyone else in the business and they've gotten better each and every year, both before COVID and during COVID and we'll see how far they can continue that.
Richard Anderson: 32:05 Great. It sounds good. Thanks.
Terry Considine: 32:07 Thank you.
Operator: 32:10 The next question comes from John Pawlowski of Green Street. Your line is open. Please go ahead.
John Pawlowski: 32:18 Thanks for the time. Paul or Keith I'd like to better understand the $100 million in capital enhancement plan and what kind of specific projects that entails? The portfolio has gotten younger over the years. It has gotten smaller, but the total CapEx dollars are very similar to what we saw pre-spend. So a little bit more color there would be helpful?
Paul Beldin: 32:41 Yeah, John, thank you for the question. I'll start and then turn over to Keith if there's anything that he'd like to add. As you correctly point out, we do anticipate about $100 million of capital enhancement spend in next year. The vast, vast majority of that about 75% is expected to be spent on projects that enhance the interiors of the apartment homes, most largely concentrated in kitchen and bath type improvements. These are the types of projects that we've been doing for a number of years and we generally achieved yields that are in the high single-digits and IRRs in the high single or low double-digits. So these are very accretive investments to make for the benefit of our expected future earnings and the value of our properties and they're very well received by the residents as well. And so, we think we have a large opportunity and a strong market to increase our spending in this area year-over-year. Keith?
Keith Kimmel: 33:36 I think you've covered it well Paul.
John Pawlowski: 33:42 So, on a total kind of per home basis. I mean, I think we're going to be running over $4500 per unit. Is that a kind of reasonable structural level in the next three to five years to expect?
Paul Beldin: 33:56 John, as we undertake our planning exercise each year both for the upcoming year and in future years. It's all very largely dependent upon actual returns achieved. So to be clear, if we start these projects and we're not achieving any returns, we'll pare back or stock some at certain projects. If we're blowing our underwritten returns out of the water, we might double it. So it's all driven by returns.
John Pawlowski: 34:22 Okay, thanks. Maybe one last one from me. Keith, could you give us a sense for or could you let us know what you’re standing renewal offers out today at, what percent of increase?
Keith Kimmel: 34:33 John, I would -- what I would tell you to think about is, we're similarly getting a results now, which is in that 10% to 12% range. We would expect that that will be likely through the balance of the first quarter into the early spring.
John Pawlowski: 34:53 Okay, thanks very much.
Operator: 34:57  Our next question comes from Chandni Luthra of Goldman Sachs. Your line is open. Please go ahead.
Chandni Luthra: 35:14 Hi. Thank you for taking my question. Could you guys remind us where you are with your relationship with Aimco. I mean, I think last time you said that basically 2 of those properties out of those 4 are in stabilization process. So how can that relationship evolve from here? And then how should we think about that $25 million interest income this year and then next year?
Terry Considine: 35:41 Hi, Chandni. This is Terry. Thank you very much for your question. The relationship is excellent. We have multiple overlaps, but they are being reduced in a steady way. The one which you mentioned about the debt obligation from AIV to AIR has another 2 years to it and will be --I'm sure that the loan will be paid at full, it’s well collateralized at its maturity.
Chandni Luthra: 36:19 Got it. And then, in terms of sort of your loss to lease, I think you mentioned it's in low teens. How much do you expect to capture in 2022? And then, how should we think about 2023, that's something that a lot of your peers have mentioned. So I was wondering if you could perhaps throw some light on 2023 as well?
Terry Considine: 36:41 Chandni, the way to think about the loss to lease is, it's in the low teens. And of course, it's really -- what drives it into 2023 is, when those transactions are occurring. And for us, we have the majority of our business that happens between June and September. And so, as you think about those transactions occurring you'll start getting that earn in that will give us, call it, the last half to the last third of earnings through 2022 and then the balance will find its way into 2023.
Paul Beldin: 37:14  (ph), what I would add to that is, if you look back over the last -- John, if you look back over the last number of years, you will see the relative performance and operations of Keith and his team versus our peers. And you will see that out-performance until we got to COVID, the coastal out-performance for the two years and -- but Keith, again, being significantly ahead of the coastal peers. And in this time in guidance narrowing the gap and perhaps passing it going forward. So just have to look at over a time frame and know that when you bet on Keith, you're likely to win.
Chandni Luthra: 38:02 Thank you so much. This is Chandni by the way.
Terry Considine: 38:06 Thank you.
Operator: 38:10 The next question comes from John Kim of BMO Capital Markets. Your line is open. Please go ahead.
John Kim: 38:20 Thank you. Good morning. I was wondering if you could provide with some more clarity on the occupancy that you're on at 98.4% higher than your peers. I think you talked about turnover increasing due to seasonality, but what about some of these other factors that contributed to the record high occupancy? And how do you see that trending for the remainder of the year?
Terry Considine: 38:42 John, thanks for the question. It really comes down to our -- we have this relentless focus on the bottom line. And so, I think a lot of times there is a question about whether rent -- rental rates come in and how occupancy plays in, but we focus on retaining customers and which reduce costs, reduce turn times, reduce vacancy loss. And so as you look at what's happened, we think this is the sort of accumulation of all those things coming together at one time. 39:17 As we look forward into the balance of the first quarter, we think we will see similar high occupancies. And then, of course, when we get into peak season frictional vacancy will play in and we will see that it will drop some, but then rebound as we get into the balance of 2022.
John Kim: 39:41 But with your loss to lease introducing since November, is it fair to say that you've been more focused on occupancy and maybe leaving some upside in rents for future periods?
Terry Considine: 39:55 John, thanks for the question. I'd say actually the opposite and actually on page 5 of the earnings release I really want -- there is an emphasis on transacted leases versus signed leases. And what you'll note in our signed leases, which were forward indicator of how we are growing rates, you will see not only do the new leases in the fourth quarter go from 11% to 11.7% in January, the renewals go from 13.5% to 14.9% and the blend goes from 12.8% to 13.3%. So not only did we increase occupancy, but you'll note here as you look forward, we were actually raising rents in all 3 categories. And in fact, we've raised them even further in January.
John Kim: 40:46 Okay. And Keith, you mentioned that your acquisition portfolio is set to outperform your same-store portfolio by 2/3, which would be probably 14% same-store revenue. Most of these assets are not in the highest growth markets being DC, MSA. Can you just elaborate on how you're achieving that higher growth?
Keith Kimmel: 41:08 Well, John, thanks for the question. I would -- I pointed in this particular script at year-end, but it's really about our team members seeing and identifying opportunities to operate better than others. And so, we see that not only have we've been able to push the rents, but we've been able to move quickly and nimbly to improve the communities and the resident experience in a way that not only has retaining more residents, there's less move-outs that are occurring, that ultimately find its way into pricing power and stronger occupancy. So, as we look at those, you're right. Some of those markets may not be the highest growth markets, but we're achieving some of the highest growth that might be as compared to others.
John Kim: 41:54 And just to confirm, does this include any revenue enhancing CapEx to achieve that same-store revenue or not?
Paul Beldin: 42:02 Hey, John, this is Paul. That's part of our planned acquisitions in both the Pembroke Pines Florida and the Washington DC area. We did underwrite some revenue enhancing capital expenditures and those expectations and actual costs are all flowing through our yield numbers that we're quoting. So the short answer is yes, but it's fully .
Terry Considine: 42:23 Yeah, it's fully accounted for, but it's not material to the outperformance. I don't want to leave you with confusion about that, John. The primary difference are going to be in occupancy, rental rate, and operating costs at which Keith is excelled for a decade and more. There is an additional benefit to revenue enhancing capital enhancements, but in terms of these transactions it's probably measured in --
Paul Beldin: 42:58 Total capital enhancements were about $30 million on a total investment of $750.
Terry Considine: 43:03 Yeah, so there you go. $30 million on $750, it helps but it's not the important part.
John Kim: 43:15 Great. Thank you.
Terry Considine: 43:18 Welcome.
Operator: 43:21 The last question is a follow-up question from Nick Joseph of Citigroup. Your line is open. Please go ahead.
Michael Bilerman: 43:29 Hey, it's Michael Bilerman again. I just wanted to come back to the margins and I respect how hard Keith and the team and you guys have worked to improve margin over time, but I would say that all the publicly traded landlords are pretty efficient and there's a lot of different definition even in your own supplemental you can look at the consolidated income statement, which obviously before the utility reimbursements and you get to 63.8% margins. So you look at Schedule 2A where you netted out that obviously is enhancing the margin to 71.5%. 44:09 Our sense is on GAAP, which is what all the apartment REITs report. The margin is really not that different. So how do you look at that? And I guess are you willing to provide more details around the revenue and expense line items, so that there is no ambiguity in relation to the calculation relative to your peers?
Terry Considine: 44:32 I don't know that there's any ambiguity Michael, but if you have specific questions we'll answer them specifically in writing for everyone to see.
Paul Beldin: 44:40 If I might add, our margin amount that we quote every quarter are disclosed in detail on supplemental schedule 6. So you can re-compute the math there and the difference between the GAAP number that you're quoting and schedule 6 is the inclusion of property management expenses.
Michael Bilerman: 44:55 Right, but the utility reimbursement is a major driver of the higher margin. And so initiating all the details in specifics. I know it has been, but that's not comparable to the peer. So when you quote it, it's not apples-to-apples.
Terry Considine: 45:17 Just help me understand your question, because we have utility expenses that are in our margin and we have reimbursement for customers that are in our margin.
Michael Bilerman: 45:33 Correct. So when you look at the face of the income statement, right, which is GAAP those are grossed up, right? They're included all in the revenues and it's grossed up in the expenses. So that when you take NOI a larger revenue number, it comes to a lower margin. You then net those out, but not all the details are provided in Schedule 2A and we don't have all the details on the property and maintenance, real estate taxes and insurance and all the property management to sort of build back up and then getting the specific growth in net numbers, both on the same store as well as on operating portfolio to be able to reconcile your numbers relative to your peers. You speak to your peers, they all say that their margins are not that far below yours, they actually will say it's above. So I'm just trying to point it out and whether you've done more analysis around it to tease out the components, both on the GAAP, cash, growth and same-store basis.
Terry Considine: 46:28 We believe we've communicated that in the schedule, but if you have a specific question or exception to that, we're glad to address that, but I'm not yet otherwise heard a question as to the accuracy or as to the reliance. So let me deal with that specifics and we'll get it back to you and to others.
Michael Bilerman: 46:49 Okay, thanks.
Operator: 46:54 We have a question from Haendel St. Juste of Mizuho. Your line is open. Please go ahead.
Haendel St. Juste: 47:02 Hey. Thank you for Keith, McGrath and Paul . Terry, I just had a question, just going back to some of the portfolio activity here, net selling out of California. Just remind us kind of where you are and your thoughts on your California exposure. Is it going to be the end of the near-term calling in terms of reducing exposure there and then you've outlined some now  markets you're looking at, are you entering new market? And if so, would you be looking to enter in some form of bulk? Thanks.
Terry Considine: 47:34 Haendel, that is a compound question. It's going to need multiple answers. But it's good to hear your voice my friend. California will probably decline as a percent of the total, primarily by a growing portfolio. There may or may not be an individual trade, but we don't have a specific goal to substantially lower California from where it is today, but if we have the right pricing we might. But more likely over time we will increase our investment outside of California and we'll do that in the markets in which we are in today which outside of California include Denver, Boston, Philadelphia, Washington and Miami. And we -- in areas beyond those we are, of course, interested in Florida and really in the Southeast generally to include Georgia, Tennessee and Carolinas.
Haendel St. Juste: 48:43 Okay, that's helpful. And certainly imagine that the parameters of looking for better long-term IRRs apply here. So we'll follow up with that question, but maybe Keith for you just a little bit of follow-up on the new versus renewals. I have seen that spread widen out here over the last few months as renewal rate has slowed. Just I'm curious on what your prognosis on that spread over the next couple of quarters or maybe for the year what's embedded in the guide for this year on new versus renewal? Thank you.
Keith Kimmel: 49:10 Haendel, thanks for the question. The way we think about it is that, it's sort of the blend. Will there be some more spread on news in Miami compared to renewals that may be because rents are accelerating at a much different pace. When we look it, it will be a market by market, but when we look at it at the end, we think it's going to be in the low teens that we'll see as we go through the balance and that's really comes into where we see our loss to lease and the ability to earn it in throughout peak season.
Haendel St. Juste: 49:48 Got it. And then one more on the sequential uptick in bad debt, maybe some color there? And did you quantify what level of breathlessness of payment you have in the guide for this year?
Paul Beldin: 50:01Yeah. Haendel, it's kind of inherent within your question is the fact there is some volatility from quarter-to-quarter in bad debt, primarily driven by the timing of rental assistance payments received from state agencies. And so during the fourth quarter, we had received, I believe, about $3.7 million during the quarter. For next year we do have an assumption of receiving about $3 million for the full year. And so we'll see where that lands and there is always some variability in that amount, because it's highly dependent upon payment by individual. So I'd be much happier to see that amount becoming lower next year than higher.
Terry Considine: 50:41 Haendel, what I would add to Paul is that, this is a very localized circumstance. We have a very high credit standards and we have very high payment and very low bad debt for the vast majority of the portfolio. It's primarily a Los Angeles issue where by municipal ordinance they've said that people don't have to pay rent even if they're unaffected. So it's -- and then they create an offset from the state and that creates the volatility that Paul is describing. I think as people are moving away from the reactions to the pandemic, the ordinances will be corrected and we'll be back to our normal course.
Haendel St. Juste: 51:32 Okay. That's all for me. Thank you guys. Appreciate it.
Operator: 51:38 There are no further questions on the lines at this time.
Terry Considine: 51:43 Well, Charlie, I want to thank you for your help. I want to thank all of you on the call for your questions. If you have further questions, please feel free to call me or Paul Beldin or Matt O'Grady and just look forward to being together at City with many of you. Be well. Thanks.
Operator: 52:09 This concludes today's call. Thank you for joining. You may now disconnect your lines.